Operator: Ladies and gentlemen, thank you for standing by and welcome to the A.O. Smith first quarter results conference call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Ms. Ackerman, Senior Vice President, Investor Relations, Corporate Responsibility and Sustainability and Treasurer. Thank you. Please go ahead.
Patricia Ackerman: Thank you Michelle. Good morning ladies and gentlemen and welcome to the A. O. Smith first quarter 2020 results conference call. Joining me today are Kevin Wheeler, Chairman and Chief Executive Officer and Chuck Lauber, Chief Financial Officer. Before we begin with Kevin's remarks, I would like to remind you that some of the comments that will be made during this conference call, including answers to your questions, will constitute forward-looking statements. These forward-looking statements are subject to risks that could cause actual results to be materially different. Those risks include among others matters that we have described in this morning's press release. Also as a courtesy to others in the question queue, please limit yourself to one question and one follow-up per turn. If you have more than two questions, please rejoin the queue. I will now turn the call over to Kevin, who will begin our prepared remarks on slide three.
Kevin Wheeler: Thank you Pat. Undoubtedly, these are unprecedented times. With safety and well-being of our employees as the highest priority, I am extremely proud of our entire teams supporting our customers with essential water heating and water treatment products to combat this virus. As a result of the COVID-19 pandemic and in support of continuing our manufacturing efforts during these times, we have undertaken numerous meaningful and in some cases extraordinary steps at our manufacturing plants to protect our employees. These steps include plant accommodations and reconfigurations to maintain social distancing, mask availability to all employees, deep cleaning, quarantine individuals with positive tests or potential exposure to the virus for 14 days and restricted access to facilities among others. While these steps result in lower manufacturing efficiencies in some cases, our focus is on safety first. The majority of our office personnel have been working from home and have done a great job in maintaining productivity and support of the business. As offices have reopened in China and will soon in other countries and in the U.S., we have implemented return to office protocol, which include bringing back office staff in waves over a two month period, making masks available, more frequent cleaning of common areas, sanitizing stations throughout the office areas and limiting the use of conference rooms for small group meetings to maintain social distancing. Our long term relationships, in many cases decades long and strength of our partners within various channels including wholesale distributors, DIY retail, hardware stores, plumbing supply and independent reps are particularly important as we provide the essential water heating and water treatment products, critical to uninterrupted operations of hospitals, clinics, grocery stores, food service companies and many more, including the households that many are now using to conduct business and education. Our global supply chain management team proactively monitors and manages the ability to operate effectively and identify bottlenecks. To-date, we have not seen any meaningful disruption in our supply chain. We engaged in ongoing communication with our supply chain partners to identify and mitigate risk, including multisourcing and managing inventory at higher levels. Our recent implementation of SAP has provide improved management tools and visibility into our supply chain. Additionally, we have improved our manufacturing flexibility as a result of water heater tank standardization projects over the last five years. Standardization greatly improves our ability to shift manufacturing from one plant to another, should the need arise. The stability afforded by replacement component in residential and commercial water heater and boiler demand, which we estimate at 85% of the U.S. unit volume puts us in a position of strength as we navigate through this pandemic. We estimate replacement demand is 40% to 50% in China. While we are in a position of strength, similar to 2008 and 2009 timeframe, we expect to see lower demand for the majority of our products and have been proactive in managing costs. We have increased our cost reduction programs in China. We continue to monitor the North American environment and customer demand to potentially take further actions such as furlough programs and other restructuring. A.O. Smith is in a solid financial position with positive cash flow and a strong balance sheet. I will turn the call over to Chuck, who will elaborate on our cash and liquidity on slide four.
Chuck Lauber: Thank you Kevin. While A.O. Smith has a strong balance sheet and capital position, we are proactively managing our discretionary spend and cash position. To that end, we suspended our share repurchase program in mid-March. In addition, while we continue to focus on strategic investments, including new products and production efficiency, we have reprioritized and reduced our capital spend plans for 2020 by approximately 20%. Through April, we have completed $200 million of dividends out of China and we have repatriated $125 million to the U.S. As of April 30, 2020, we had approximately $850 million in liquidity consisting of cash, cash equivalents, marketable securities and borrowing capacity on our credit facility which remains in place throughout 2020 and 2021, expiring in December 2021. We continue to focus on rightsizing the cost structure of our China business. We have achieved a 20% headcount reduction compared with December 2018 and we will continue to assess the need for additional workforce reduction. We are targeting 1,000 net store closures this year in China along with further cuts in advertising and other costs. Total savings are expected to total $55 million, an increase of $10 million from our estimate in January, of which $30 million was achieved in 2019. Our debt maturity schedule is shown on slide five. The next major maturity date is at the end of next year in December 2021 when our revolving credit facility expires. We are in compliance with all covenants in our credit facility. Our leverage ratio was 17.5% gross debt to total capital at the end of March, was significantly below the 60% maximum dictated by our credit and various long-term facilities. I will begin comments about the first quarter on slide six. First quarter 2020 sales of $637 million declined 15% compared to the first quarter of 2019. The decline in sales was largely due to a 56% decline in China local currency sales driven by the COVID-19 pandemic. As a result of lower sales in China, first quarter 2020 net earnings of $52 million and earnings per share of $0.32 declined significantly compared to the same period in 2019. Please turn to slide seven. Sales in our North America segment of $533 million increased 2% compared with the first quarter of 2019. Incremental sales of $16 million from the Water-Right acquisition purchased in April 2019, organic growth of 17% in North America water treatment products and higher water heater volumes drove sales higher. These factors were partially offset by water heater sales mix composed of more electric models which have a lower selling price and lower contractual formula pricing associated with a portion of water heater sales based on lower steel costs. Rest of world segment sales of $110 million declined approximately 53% with the same quarter in 2019. China sales declined 56% in local currency related to weak consumer demand driven by the pandemic. China channel inventories declined slightly from the levels at the end of 2019 and remained in the normal range of two to three months. On slide eight, North America segment earnings of $127 million were 10% higher than segment earnings in the same quarter in 2019. The improvement in earnings were driven by lower steel costs, incremental profit from Water-Right and improvement in the profitability of the organic water treatment sales which were partially offset by the mix skew to electric water heaters and lower contractual pricing. As a result, first quarter 2020 segment margin of 23.9% improved from 23.3% achieved in the same period last year. Rest of the world loss of $42 million declined significantly compared with 2019 first quarter segment earnings of $12 million. The unfavorable impact to profits from lower China sales and a higher mix of mid-priced products which have lower margins, more than offset the benefit to profits from lower SG&A expense. As a result of these factors, the segment margin was negative compared with 5.3% in the same quarter in 2019. Our corporate expenses of $15 million and interest expense $2 million were essentially flat as last year. Our effective tax rate of 23.6% in the first quarter of 2020 was higher than the 20% tax rate in the first quarter of 2019, primarily due to geographical differences in pretax income. Please turn to slide nine. Cash provided by operations was $54 million first quarter of 2020 was higher than $22 million in the same period in 2019 as a result of lower investment in working capital, including timing of certain volume incentive payments which was partially offset by lower earnings compared with the year ago period. Our liquidity and balance sheet remain strong. We have cash balances totaling $552 million and our net cash position was $209 million at the end of March. During the first quarter of 2020, we repurchased approximately $1.4 million shares of common stock for a total of $57 million. I will now turn the call over to Kevin, who will begin on slide 10.
Kevin Wheeler: Thank you Chuck. During April, we saw differing levels of impact from the pandemic across our major product lines and geographies. In North America, our average daily orders for residential water heaters declined low single digits compared with the first quarter pace. Commercial average water rates in April were down 30% to 35%. It is difficult to interpret water rates in April as customers are likely adjusting inventory levels as they manage their inventory investment dollars. In China, the pandemic had a significant impact on our volume in the first quarter. 50% of our sales volume occurred before the Chinese New Year shutdown on January 24. With manufacturing, government offices, restaurants and schools now largely reopened and the majority of installers able to access apartments in China, we have seen sequential improvement in sellout and orders in April compared with February and March. Consumers remain cautious and it's too early to determine when consumers will return to normal levels in retail environments. A portion of the improvement could be pent-up demand. In North America, demand for residential boilers has remained soft following a warm winter. And we have delayed our early buy incentive program in this environment. Our commercial condensing boiler backlog has doubled from levels at this time last year but some orders have extended delivery dates. With construction sites closed in some states, timing of delivery is difficult to project. Safety and security of drinking water was a higher priority for consumers during this time. The North America water treatment end market strength we saw in the first quarter continued in our direct to consumer product portfolio, which skews to lower price, easier-to-install products. In April we experienced some challenges in parts of the country with installed and home products. In India, our water treatment products are considered essential but our manufacturing plant is closed as worker transportation is difficult in this environment. We believe the current environment does not allow for the forecast of performance with reasonable precision. And as a result, we continue to suspend our 2020 full year guidance. As the depth of the disruption and pace of recovery in our end markets become clear, we look to return to our practice of providing a current year outlook. Please turn to slide 11. In Mexico, similar to other companies, we temporarily suspended operations as governmental agencies continue to sort through the industries designated as essential and allowed to continue to operate as well as the conditions and safety measures under which businesses deemed essential are allowed to operate. We temporary shifted manufacturing from Mexico to the U.S. to minimize disruption of our customers. Each day, we move closer to an understanding of when we will resume production and believe that we will be in a week or two and at a reduced manning and capacity. These lower rates coupled with U.S. output are expected to support demand for customers over the coming months. Our global supply chain team has been proactive from early in the first quarter and continues to monitor and manage availability of components. Again, to-date, we have experience middle disruptions in our global supply chain. Our largest suppliers in Mexico, which are in different states than our Juarez plant, are now reopened, but at reduced capacity. While the disruption has been minimal, we have experienced reduced safety stock levels on certain items and our supply team is in ongoing communication with our suppliers to mitigate operational risk and manage inventory levels. We believe replacement demand for water heaters and boilers in the U.S. is approximately 85%. In 2006 through 2009, which captured the great recession peak to trough, industry shipments of residential water heater volumes declined 18%. The decline was primarily driven by 1.5 million decline in new homes constructed. During that period, we were able to flex our operations to maintain margins. At 1.3 million new homes in 2019, we do not anticipate the new home construction impact will be as great as the great recession. The replacement base of our core U.S. products provides a stabilizing buffer to the economic downturn expected in the remaining three quarters of 2020. Please turn to slide 12. After being closed for several weeks in February in compliance with local orders, our three plants in China are open and operating. Foot traffic in our retail network in China remains low and we are building to order at lower than normal operating capacities. Our suppliers are open and we are not experiencing disruptions. Customers continue to prefer products with fewer features, continuing the trend we saw last year, as you would expect in this environment. Our mid-priced products are positioned for this trend. Despite reduced headcount, retail footprint and advertising costs, we continue to invest in R&D in the region. Product development continues with a focus on taking cost of our most popular new products to improve contribution margin. Product development has been one of the pillars to our success in China and we are committed to our investment in engineering resources in China and around the world. Please turn to slide 13. After a hard closure of the economy in the first quarter, China is slowly returning to business. While we have seen April orders incrementally improve from February and March, it is too early to predict if the recent improvement is the result of pent-up demand or by consumers slowly returning to the market. In North America, we have previous experience in weathering through difficult economic conditions, most recently in the 2008 recession. However, with the massive and abrupt impact to jobs in end markets like restaurants, hotels and hospitals, it is difficult to predict if this current state of shelter at home and state-by-state closures will play out similarly to the 2008 recession. While we would expect that our replacement business in both water heating and boilers would provide a buffer in the same manner as we have seen before, the impact of construction and discretionary spend and closure of certain job site activity is difficult to predict for the remainder 2020. In India, it is clear that our target to breakeven in 2020 will be pushed out as the country battles COVID-19. Please turn to slide 14. We believe that particularly in these uncertain times, A.O. Smith is a compelling investment for a number of reasons. We have leading market share in our major product categories. We estimate replacement demand represents approximately 85% of U.S. water heater and boiler volumes. We have a strong premium brand in China, a broad product offering in our key product categories, broad distribution and a reputation for quality and innovation in that region. Over time, we are well positioned to maximize favorable demographics in both China and India to enhance shareholder value. We have strong cash flow and balance sheet supporting the ability to continue to invest for the long term with investments in automation, innovation and new products as well as acquisition and returning cash to shareholders. We will continue to proactively manage our business in this uncertain environment as we have seen consumer demand trends emerge in China where we were first impacted by the pandemic and now in our North America as the current economy begins to reemerge after the economic shutdown. We have a strong team which has navigated successfully through prior downturns. I am confident in our ability to execute through COVID-19. That concludes our prepared remarks and we are now available for your questions.
Operator: [Operator Instructions]. And your first question is from the line of Jeff Hammond with KeyBanc.
Jeff Hammond: Hi. Good morning guys.
Kevin Wheeler: Hi. Good morning Jeff.
Patricia Ackerman: Hi Jeff.
Chuck Lauber: Good morning.
Jeff Hammond: Really good color on April and the trends. And I just want to understand this China sellout chart a little bit better. Is it fair to say that like the last five weeks, sellout has been kind of in line with prior year? And maybe how does that frame how you are thinking about 2Q for China versus the steep drop you saw in 1Q?
Chuck Lauber: Yes. Jeff, so let me just kind of walk forward from January. Kevin said it on his remarks that half of our first quarter sales were before the holiday festival. So before January 24, we had 50% over the Q1 sales already in. February was by far the weakest. Sequentially, March got a little bit better. And we have seen April get a little bit better. And that's just our sales. When you look at demand, demand what we have seen in April is, demand is approaching, the sellout is approaching what we saw last year. So we are encouraged by it. We think some of it could be pent-up demand. But we are encouraged by the way it's starting to track to last year.
Jeff Hammond: Okay.
Chuck Lauber: And on top of that, I just want to come back to channel inventories. So you know, we saw channel inventories decreased slightly in the first quarter too. So we are really building to demand and we are pleased with that.
Jeff Hammond: Okay. And then in North America, kind of stark difference between the commercial water heater commentary and I think what you are saying about Lochinvar. But it sounds like you expect Lochinvar to see declines as well. Can you just maybe differentiate between those two and what you kind of expect?
Chuck Lauber: Well, let me just take the North America water heating side of the market first. As we talked about, our orders were down a little bit on residential in April. In the commercial, I wouldn't read too much into April right now, down 30%, 35% is, in our mind, probably our distributors rebalancing inventory. Keep in mind that their largest investment is in our dollar amounts in our commercial product. So there is probably some rebalancing going on there. As far as Lochinvar, again Lochinvar has had a very nice commercial start to the year. Again, some of those jobs are in New York and a few other states that have been suspended. But having a strong order book is really good. And we are still seeing, quite frankly, decent quote activity out there. So as we move forward, again, I would say, it's still too early to put a number on what new construction look like and when these jobs that have been postponed will be released. But overall, I like our position as we head into Q2 and then we are going to have to read and react as we see this market open up. It's very early right now.
Jeff Hammond: Okay. Thanks guys. I will get back in queue.
Operator: And your next question is from the line of Matt Summerville with D.A. Davidson.
Matt Summerville: To that point, would it be possible, Kevin, to just talk about what you believe sell-through looks like in April in the commercial business versus sell-in where you indicated? And then as my follow-up, can you talk about how the new entrants into the residential water heater market later this year may impact or not market stability? I would love to get your take on that. Thank you.
Kevin Wheeler: Well, I would tell you, when you start talking about North America and sell-in and sellout, we don't really have great data there. So it would more speculative on my part as we go forward. I still believe the 85% replacement market is going to hold up and continue. But the new construction, it's just too early for us to put a number on that, knowing again, as I mentioned, a lot of the jobs have been suspended and quite a bit of activity up in the Northeast and so forth. So not trying to dodge the question, it's just we really don't have that kind of visibility to give you or for me to give you a reasonable answer right now. And as it comes down to a competitor entering the market at the end of this year, again, as we looked at it, A.O. Smith has dealt with competitors for a long period of time. As we mentioned on prior calls, we have very strong relationships with our distributors. I mentioned in my remarks, they go back decades. To be a full-time player in this market, you have to have a very complete product line of residential, commercial. And on top of that have excellent service levels. So we are going to focus on our self as we go forward and continue to do and provide value to our distributors as we have over the last decades.
Matt Summerville: Thank you.
Operator: And your next question is from the line of Scott Graham with Rosenblatt Securities.
Scott Graham: Yes. Hi. Good morning Kevin, Chuck, Pat.
Kevin Wheeler: Good morning Scott.
Scott Graham: I was just hoping, on slide four, the $55 million in China, is the math there as simple as assuming at $25 million drops into operating income this year?
Chuck Lauber: It is, Scott. We were talking about $15 million on the January call and we have increased that by $10 million.
Scott Graham: Yes. Got you. And then, you have to look at each business individually and certainly within North America. But is there, particularly with concerns out there about the speed of release of the backlogs that are out there on commercial for that kind of start up again fully, I think that there is some concerns out there. And I guess my question is, you know, does that preclude you? Like, does your backlog, when you are quoting precludes you from maybe taking some structural cost out there? And maybe more broadly, in North America, what are the trigger points that you are may be looking at to get more aggressive on the cost side in North America, again more broadly?
Kevin Wheeler: Well, let me just take the high level and I will have Chuck fill in some of the blanks here. But if you look at it, demand we have been able and we have demonstrated it through 2008 and the recession, to be able to flex our plants appropriately. And so that's a skill set that came out of the great recession that we continue to use today. So that would be simply demand driven and we will adjust appropriately, whether it's in our water heater facility or on the boiler facility. And as far as costs right now, the quarter came, I think, pretty reasonable for us. We are continuing to watch demand. Some of the things we have already taken. We have our headcount on hold. Travel and entertainment is down. But we haven't taken any major structural changes or decided to take any structural changes yet. We will continue to look at it. We are prepared, if necessary, to execute. But we just not in that position and we will continue to monitor demand and our customers as we head into Q2.
Chuck Lauber: Yes. I mean the trigger point for us is really watching that demand. Back to your backlog question, we are pleased to have the backlog. We wish it was a little more predictable on when we were going to ship it. But that doesn't really preclude us from taking some of the actions that Kevin mentioned on taking some of the cost out as we watch the backlog.
Operator: Your next question is from the line of David MacGregor with Longbow Research.
David MacGregor: Yes. Good morning everyone. Chuck, I hope you are well.
Chuck Lauber: Yes. You too.
David MacGregor: Yes. Thank you. Just a question on China and I guess you know we have been talking now for a few quarters about the evolving mid-price point product that you have introduced into the Chinese market. I guess I wanted to tie this in a little bit with what you are doing on SG&A because clearly, you are making progress in terms of addressing the SG&A issue. But to the extent that you are relying more and more on mid-price point, one would presume that that's a more competitive segment of the market. And as a consequence, would require more in the way ad support, market support. And I am just wondering if the migration into greater mass in the mid-price point constrains you in terms of what you are able to do in flexing SG&A?
Chuck Lauber: The products that we are introducing in that kind of upper mid-price point is really helping us, albeit on the online. So as you might expect, in Q1 we saw our online business doing a bit better than we have seen in the past. Our online historically has been 20% of our business last year, first quarter. This year it's approaching 30%. And the selling model is a little bit different on online after you make the sale than we do on the offline footprint. So some of the tie in to kind of mid–priced products and some of the actions we are taking is looking at our store footprint. So the 1,000 stores that we talked about, that's the area that we are really looking at, low efficiency stores, trying to take some cost out. But it's really those mid-price products help us a bit online as well as in the offline and we are working on cost reduction projects that continue to reduce the cost on those.
Kevin Wheeler: Yes. I would just add that, the cost to sell online is a little bit lower than offline. And a lot of the actions we are taking with the stores, we are going to repurpose some of those investments towards our online activities. But I don't view it as being an incremental add to our marketing efforts. I look at it more a repurposing in how we go to market.
David MacGregor: Is there any chance we could get some sense of proportion from you in terms of what percentage of your business over there is mid-price point versus the legacy premium price point?
Chuck Lauber: We don't have that split handy right now. I would say, certainly in this environment, we have seen a shift to more of the upper mid-priced than low end of the premium price product. But exact numbers, we just don't have in front of us.
David MacGregor: Okay. And my follow-up question is really on the water treatment. Some pretty impressive numbers there this quarter. Just the improved profitability, is it really just being driven by scaling up business ops or is there product mix or channel mix issue? Could you just talk about some of the progress you have made in water treatment?
Kevin Wheeler: Yes. It's all that. It's some scale. It's some process improvement that we have had. Strong demand always helps. With the organic growth of 17% in the business really improves it. And we are very, very pleased with the addition of Water-Right because Water-Right has performed very, very well for us and helps that margin as we get more scale.
David MacGregor: I guess just in this kind of environment where there is so many concerns about how the consumer discretionary spend might respond to the macro, are you seeing anything in April that would give you pause?
Kevin Wheeler: No. Actually, in the remarks, we talked about water treatment and we had a very strong, in our minds, a very strong Q1. And that really transferred over into April. Clean water is a critical element in the consumer's minds right now. And having the ability for us, one of the things in our water treatment, we have several channels that we market in. And this has proved to be a nice advantage for us, be it going through e-commerce, going through a dealer network, DIY, providing those opportunities to the various consumers played out really well in Q1 and we think will play out as we go forward into Q2.
Operator: Your next is from the line of Robert McCarthy with Stephens.
Robert McCarthy: Hi. Good morning everyone.
Kevin Wheeler: Good morning.
Chuck Lauber: Good morning.
Robert McCarthy: How are you doing? All right. So I guess first on China. Could you just talk and amplify some of your existing commentary about the cost actions you took in the narrative in the back half the last year and the incremental cost actions you have taken now? And how that's changed or what's accelerated? What's the difference? And then is there any granularity as to the negative margin you put up this quarter that could give us a better sense of the components of the loss, because that's a pretty sizeable loss?
Chuck Lauber: Yes. So let start with the cost actions and I will take it by category. So headcount reduction, when we were on January's call, we talked about the fact that we were targeting 20% to happen through the first half of the year. And we have achieved that 20% and we are looking at some further headcount, if necessary. So we are looking very close at headcount as well as watching the consumer demand. We really increased our selling and our advertising expense. So the increase there is the 1,000 stores and we are looking at our footprint. We are targeting to take out further selling in offline infrastructure costs.
Robert McCarthy: Okay. And then I guess as a follow-up, just a cash flow statement. Could you just give a sense of what's really been the change in current asset liabilities for three months 2020 versus 2019? Just give me some complexion around the conversion there in terms of what's going on in inventories and receivables?
Chuck Lauber: Yes. Inventories are up slightly. I would say, the biggest swing in cash flow is just some timing of some volume incentive payments that occurred in the first quarter last year that will occur in the second quarter this year. Let me go back to China for a second because you mentioned about, I think you mentioned it was a pretty large decrement. The volume really matters in China when you get to that level. So we have been kind of consistently talking about, when volume goes down using a 50% decrement, I think it falls in line pretty close to that. Q1 was not much time for the China team to react. Q1 was very abrupt and leaving the spring holiday for the Chinese New Year expecting to be back in a week and not returning for several weeks. So reacting on cost in Q1 was quite difficult, particularly paying employees and doing all the right things that we did for safety. So it you not easy to make quick action or take quick action in Q1. But the 50% decrement held pretty true in Q1. We curtailed all the advertising that we could in promotions because it just didn't make sense to promote while people were not in the retail environment. So as I mentioned earlier, Q1 50% before the festival and then sequentially better. So we are watching the orders in April very closely and we are going to watch as we go into may to see what we can expect as the year progresses.
Operator: And your next question is from the line of Ryan Connors with Boenning & Scattergood.
Ryan Connors: Great. Thanks for taking my question. How you are all well. You too, Ryan.
Ryan Connors: Thanks. Yes. I wondered if you could talk about the impact of all this on your channel partners and sort of the channel inventory situation in North America? I mean many of your distributors are small businesses. Certainly, the professional plumbers that they serve are small businesses. So presumably, their financial wherewithal to hold inventory may have been compromised in many cases. So how does that impact you? Will there be some requirement that you utilize more of your balance sheet to finance inventory going forward? Or any thoughts on that?
Chuck Lauber: Yes. So many of our customers are also essential businesses in today's environment and continue to operate. We know that their volumes are lower because they have had to adjust to curbside pickup in some cases and other scenarios which has hurt their business. Certainly, water heaters are very important part of their business, also very important part of the replacement business. So that's more steady than some of the other discretionary spending that people would have for the other products that they carry. We are watching it close. If you go back to the recession and use that as our experience level, we saw very, very little interruption during the recession. We would hope and expect that some of the smaller distributors or customers that we serve would be able get some assistance through the government programs that are out there. But we are watching it very close. At this point in time, we haven't seen any indications of any slow-up or any issues in our channels. But we certainly are watching it close.
Ryan Connors: Okay. So you don't see any structural change in terms of you having to hold more inventory at your level as opposed to the inventory capability of the channel itself?
Kevin Wheeler: This is Kevin. If anything, from 2008 when the great recession hit, there was even more consolidations at some of our customers over that decade or so. And quite frankly, these are the same customers that navigated through the great recession. And basically, almost every one of our customers has been deemed essential and their customers have been deemed essential, so plumbers and so forth. Yes, some sales were down, but there has been, we have had to make no really adjustments to the way we do business with them other then making sure that they have product to serve the consumer and the commercial entities when necessary. And they have been navigating through it pretty well. And again, we stay close to them. Our sales force is virtually talking to them on a pretty regular basis. But yes, as a whole, I think I would be very comfortable saying most of our distributors and retailers and even our dealers are navigating through this current environment. And again, we will have to see how it plays out the rest of the year. But for the most part, everybody's doing business, a modified business, but nothing exceptionally different.
Operator: Your next question is from the line of Susan Maklari with Goldman Sachs.
Susan Maklari: Good morning.
Kevin Wheeler: Good morning.
Chuck Lauber: Good morning.
Susan Maklari: My first question is, can you talk a little bit to the decremental margins in North America? And especially as we think about it from a residential perspective as well as the commercial, just given the varying trends that you talked to there?
Kevin Wheeler: Yes. We look at the margin incremental and decremental margins as about 30%, roughly, on the residential side. Commercial would be a bit higher. But this is a little different, right, because some of this disruption is pretty abrupt, some of it's stop-start, some of it is a little bit more costly. But that's ballpark.
Susan Maklari: Okay. That's helpful. And then following up on that, you mentioned that the rate of declines that you saw during the housing downturn in 2008, can you talk to the mix shift that you also see with that? And maybe how you are thinking about mix shift in the U.S. coming through as we exit the virus and get into more of a recessionary period?
Chuck Lauber: You know, back in that time, I don't believe we saw much of a mix shift at all. There may have been a slight, depending upon where the housing was located, typically some of the stronger markets are electric markets currently, when you go to Florida and some of those other geographic areas. But we wouldn't expect a significant mix shift. It's typically a like-for-like exchange on the water heater side on the residential side.
Operator: Your next question is from the line of Saree Boroditsky with Jefferies.
Saree Boroditsky: Good morning. Thanks for taking my question.
Kevin Wheeler: Good morning.
Saree Boroditsky: So you talked about the impact from construction closures on commercial water heaters and boilers. Could you just provide any color on what you are seeing in regions with extreme shutdowns in North America, such as the Northeast versus regions that are less impacted by the shutdowns?
Kevin Wheeler: Yes. I would tell you, this is Kevin, you just said, up in the Northeast, New York, that area took aggressive measures to shutdown a lot of their job sites. We are seeing some of that on the West Coast as well in California. And so, those are the areas and quite frankly we are starting to see some of those start to be released and coming back to work. But it was very regional and particularly very heavy in the areas, as you would expect like New York where the COVID-19 was having a serious impact.
Saree Boroditsky: Is there a way to quantify the decline seen there versus some other regions so we can kind of get a sense of what underlying demand be versus COVID-19 impacts?
Kevin Wheeler: I don't think we can get that granular with you as far as, again as we talked about, even our backlog that we have which is a nice backlog, those dates continue to move. We stay in contact with our customers and our buy and sell reps to kind of the best view going forward. But it's really early. Until these markets really open up, not just gradually open up, we are going to need to see some kind of run rate here before we can really give you a definitive response.
Operator: Your next question is from the line of Nathan Jones with Stifel.
Nathan Jones: Good morning everyone.
Kevin Wheeler: Good morning.
Chuck Lauber: Good morning.
Nathan Jones: I just would like to follow-up to a comment you made, I think it was Rob's question about reacting on cost in China and how difficult that was due to the abruptness of the shutdown and that it happened so quickly. Could you contrast that with your ability to adjust the cost structure in North America depending on what we see going forward here?
Chuck Lauber: Yes. You know, the biggest contrast in my mind is that we would expect that big of a drop in North America because of the replacement business being a larger percentage of the business in China. So I want to just kind of start with that statement. And we have got a little bit more flexibility probably when you look at some of the programs that Kevin outlined as we go forward to make adjustments. So that would probably be our ability to maneuver a little quicker. In China, we paid everybody 100% in Q1, a very difficult restart. The country was pretty hard close for a longer period of time. And we will have to see what happens in the U.S. Hopefully, we won't experience resurgence and hopefully that we will see the country continue to open up.
Nathan Jones: Okay. That's helpful. And then a question on cash flow. The working capital for the remainder of the year, would you assume that that's going to be a source of cash, 2Q through 4Q? And any guidance you can give us on what you think the kind of cash conversion numbers are going to look like for 2020?
Chuck Lauber: I am not going to frame it from an amount, but working capital, we are not going to pressure inventories a great deal right now in this environment. We are going to make sure we are caring inventories adequately to cover our needs. We may even increase a bit in certain areas where we would like to make sure we have safety stocks. In China, we would expect that there would be some growth because we have got expectation that we are going to see a little bit of growth over the course of the year. So not frame a number, but working capital, I wouldn't expect a lot of help on working capital for the back half of the year but we will watch it closely.
Operator:
Operator: And your next will come from the line of Robert McCarthy with Stephens.
Robert McCarthy: Sorry. I am glutton for punishment. So I guess the next question is, maybe you can just comment qualitatively, I know historically, your gross margin in China has always been higher than North America, even with the price increases we saw just really over last four or five years. But clearly given what you have been seeing now, can you structurally still make that statement? Or are we starting to see some material dilution in gross margin in China?
Chuck Lauber: Well, Q1, the gross margin in China was lower than our historical 40%. So Q1 certainly was, there was a couple things driving it. It's the dramatic volume shifts, that number one and the cost associated with that. And we have been talking about some of the mid-price pressure on margin. We have introduced a lot of mid-priced products or a number of upper mid-priced products that we are very, very happy about that are being well received. However, we have got some cost-out programs that are still yet to come on a couple of those. So when you look at Q1, yes, China actually was lower than our historical average gross profit.
Robert McCarthy: And do you think it's still credible? I mean because I think you have been talking about the replacement cycle in China developing over time. And obviously, up until 18 months ago, you just an incredible success story in China. But you talked about the replacement market kind of developing and I think the replacement market maybe, if memory serves, is in the 40% to 50%, maybe 40% of the market as of, I don't know, 12 to 18 months ago. But given the interventions of these mid-priced product and what's going on, is it suffice to say that perhaps you can take a pause here? Or is it even the right thing to think about replacement market when you have this kind of switching to a lower price product?
Chuck Lauber: Well, I will do my best to try to answer that. One, the replacement market is about 40% to 50%. So you are in line there. And 50% in the Tier 1, Tier 2 cities. And when you get out to the other lower tier cities, it's about 40%. And again, I would go back to, we still have again products for mid-price up to premium. We continue to drive both sides of the business. We are bringing new products to market, both in gas, electric and of course water treatment. But on the water heater side, there is a strong preference for like-for-like. and that's no different than in the U.S. If you take out a product, you are probably leaning towards putting one similar in. So the way I look at the replacement market, again it's a nice buffer for us that we are not relying on new constructions and so forth. And we think it's going to be, today it's 50%. We believe it's going to be a real advantage for us as that continues to grow throughout the year. So I don't see the mid-price point and the premium price point at odds with each other. They are just serving different types of consumers.
Operator: And there are no other questions. I will now turn the call back over to Patricia Ackerman.
Patricia Ackerman: Thank you ladies and gentlemen for joining us today. That concludes our session. and have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.